Operator: Ladies and gentlemen, welcome to the Evonik Industries AG Q3 2025 Earnings Conference Call. I'm Mattilde, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christian Kullmann, CEO. Please go ahead.
Christian Kullmann: Thanks a lot, and welcome to our Q3 earnings call. Looking around in our boardroom, I see a very different setup here today. First of all, welcome to First of all, welcome to Claus Rettig, our interim CFO, who is sitting left to me. Many of you already know him. In his previous roles, he represented Evonik at many investor conferences and Capital Markets Day. His extensive experience and knowledge of our company is helping us in this new role while the search for our CFO is ongoing. I would like to take the opportunity here today to thank Maike Schuh for many years in different roles at Evonik. She has left the company at her own request in September. And while this was very sudden, we have to accept that. I would like to thank her for her efforts and the positive impact she had on our organization. Second, after 49 -- worthwhile to repeat, after 49 reported quarters as a public listed company, Tim is not sitting on the right side of this table anymore. For more than a decade, he has built an Investor Relations program, which is highly regarded by all of you out there. Now he is taking a well-deserved sabbatical. Thank you, Tim, for your lasting commitment to the Evonik Equity story. Christoph, whom all of you already know pretty well, will have a strong foundation to build on in the coming years. And with that, let's go into today's results release. We will be largely focusing on the outlook during the short prepared remarks. You will know that we are facing a very tough environment currently, although already coming from quite a low level, customers currently are acting even more cautiously across all segments and in nearly all end markets. Demand stayed very weak, exiting the summer break. That is why with our prerelease end of September, we had to lower our full year guidance to around EUR 1.9 billion of adjusted EBITDA, coupled with a cash conversion rate between 30% to 40%. Your and our look today goes ahead into the fourth quarter. For that, I'm now handing over to Claus, who will show you why we are confident to achieve our outlook for both EBITDA and cash conversion in the last 3 months of the year.
Claus Rettig: Yes. Thank you, Christian. As you already said today, I'm here in my role as interim CFO, which I took over a good month ago. I have to say, during my almost 30 years at Evonik and in my different roles, I've joined quite some meetings, events, investor presentations, presentations, discussions with customers, suppliers and partners. Nevertheless, this earnings call marks a first for me. And unfortunately, we have to report a weak quarter 3 for Evonik. However, I spent most of my time in my new role already on the future. Let me therefore comment on the fourth quarter in 2 parts. I would like to start with the supporting factors for our earnings development. And then I would like to comment also on our free cash flow and net working capital expectations. Starting with the EBITDA. There are several supporting factors in Q4. We will see the typical year-end recognition of sales and earnings in our Health Care segment, which will be more pronounced this year versus a weaker last year. In Animal Nutrition, we will see a pickup in sales coming from the low levels in Q3, especially compared to previous year. And these low levels were, of course, impacted by a planned maintenance shutdown. In Q4, almost full capacity will be available again. And we have already rather good visibility on the booking levels today. Another aspect to address are lower personnel costs. For several quarters, we are seeing a reduction in our FTE numbers, which will come through more and more into the bottom line. In addition, bonus provision releases are further supporting our earnings and also in the upcoming quarter. So all in all, with the environment that will stay tough, the finish until the end of the year will also certainly not be easy. But there are good reasons why we are confident to deliver around EUR 1.9 billion of EBITDA this year. The same is true for the free cash flow. We are on track to deliver our guidance, which we gave as between 30% and 40% cash conversion. In the first 6 months of the year, the weaker-than-expected environment has made it difficult for us to reduce the net working capital as intended. Now we have adapted to the new situation, which has resulted in a positive free cash flow of around EUR 300 million in Q3. And we have seen an acceleration in net working capital reduction throughout the quarter, making most progress in September. This makes us optimistic for further significant steps in quarter 4. To reach the midpoint of our guidance range, we will need another EUR 380 million of free cash flow in Q4. Again, as with the EBITDA, it will not be easy. But looking into the past years, it is doable, and that's what we are going to do. And with that, I hand back to Christian.
Christian Kullmann: Thanks a lot, Claus. Ladies and gentlemen, in this tough environment and facing clearly weaker results than we would like to see, the execution of our long-term strategy is more important than ever. Continuing to transform our portfolio and to optimize our administrative and operational processes is a necessity, and we have made good progress in both regards this quarter. A significant milestone is for Europe, carve-out of our infrastructure activities, although maybe not so visible from the outside, this is one of the most complex reorganization projects in our history. More than 3,500 employees are directly affected, many more indirectly. So it is good to see that we are well on track in our initial project plan. The new SYNEQT, that is the name of the new company, will start in January of next year as a 100% subsidiary of Evonik Industries. The different options for the future will then be evaluated. But also our Evonik Tailor Made program and the Business Optimization programs like in high-performance polymers or health care are progressing as planned. Compared to the end of last year's third quarter, the number of employees has shrunk by more than 740 without divestments. And these are mostly leadership roles, mostly in Germany. This impact will be lasting and felt all the more once demand recovers. Executing those projects will help us to focus on our core activities, which is essential in these difficult times. Having said so, we are now happy to take your questions.
Operator: [Operator Instructions] The first question comes from the line of David Symonds from BNP Paribas.
David Symonds: Yes, two from me, please. So just the first one, if you could give any comments on October trading and what you're seeing so far and whether it's supportive of hitting the EUR 1.9 billion on the nose. And then the second one, so I'm a little bit confused by Advanced Technologies. And if I bridge from last year, taking relatively minor impacts from price, volume and FX sales and the standard drop-throughs, then I would probably come to an EBITDA number of around EUR 260 million for this year's Q3. Then you've reduced full-time employees in this division by around 450 year-on-year. So I would think that would contribute sort of EUR 10 million to EUR 12 million positive. And yet the eventual number was only EUR 202 million EBITDA. So there's arguably -- there's a EUR 70 million gap compared to what I'm able to bridge. And I'm just wondering are there any sort of production effects or anything in this quarter? I can see that you've reduced working capital. Did you reduce production in Advanced Technologies in Q3 in order to support cash and so had less coverage of fixed costs? Or where does that gap come from, please?
Christoph Finke: Yes. Thank you, David. Both questions actually go to Claus. So the first one on Q4 and October trading and the second one and then on Advanced Technologies.
Claus Rettig: Yes. Yes. Thank you for the question. And let me answer them as following. Maybe first on current trading and outlook. Like I said before, we are absolutely confident to reach our guidance around EUR 1.9 billion. And there are certain factors that are supporting this. So like I said, we have a very strong demand on the health care side, which we see in Q4. And we have some of the negative impacts we have seen in Q3, not anymore, like that goes into costs for maintenance shutdowns we had. Our methionine business was really weak in Q3 because of this maintenance shutdown costs plus lower business. This we don't have in Q4 anymore. And we also, like I said, have already a good visibility in our order book on the methionine side. So this is clearly giving us confidence. Another piece that gives us confidence is when you look to our Q3 development month by month, September was already clearly on the upside. We had a weak August, but also not as weak as August, but a weak July. September, certainly better. September contribution margin from the market was above the average of Q2. And first indications of October are also that we are on the level of September. So we head into the Q4 really along what we are expecting. And that makes us very, let's say, confident that we can reach our guidance range as published. Maybe so far for this one. The other one was Advanced Technologies. Yes, it looks when you -- on the first glance, when you look to the numbers, of course, it looks strange because the EBITDA is much weaker than you would expect when you look to the loss on sales. However, some of the factors I already mentioned here is we had methionine shutdown, which created quite a bit of cost on the cost side. But even more so weighing on the EBITDA was quite a big step in inventory reduction. As we said, last year, we have done inventory management maybe a little bit earlier than this year. That's why we had a better cash flow last year at the same time. Now in Q3, we really, really go down on the cash flow side, management of cash flow, reducing inventories is a big portion of this. And when you look to the numbers we provided to you with our KPIs, financial KPIs, you will see that when you look into the Advanced Technology, yes, we dropped down from EUR 1.5 billion in Q3 '24 to EUR 1.4 billion, you can say, in Q3 '25. And we almost lost the same amount on the EBITDA line from EUR 296 million to EUR 202 million. But when you look on the cash flow side, you see that cash flow increased. So from EUR 146 million previous year's quarter to EUR 182 million this quarter. And that gives you clearly indication this is due to working capital management. And as you all know, this is suppressing EBITDA. And -- so these are the 2 factors, net working capital reduction, maintenance shutdown costs, mainly on the methionine side, with also force majeure on the crosslinker side in the last quarter, which also was jeopardizing our crosslinker business. These elements have contributed to this low EBITDA in Q3.
Operator: The next question comes from the line of Martin Roediger from Kepler.
Martin Roediger: Three questions. Number one, the earnings effect from the release of bonus provisions in Q3 has been obviously above the EUR 20 million level you had in Q2 already. Can you provide some color how much above EUR 20 million was it? And what are the targeted bonus provision releases in Q4? Secondly, on the cost savings, based on what you have announced or done already so far with restructurings and disposals, what are the incremental cost savings in 2026? And thirdly, a more general question. Do you see any rising imports from Chinese competitors into Europe because export volumes, which were initially dedicated to the U.S. market are now rerouted to Europe due to the implemented tariffs. If so, in which product categories is this the case?
Christoph Finke: So yes, a lot of questions for Claus today. So we will start with the cost savings and incremental savings in 2026. And then going to the additional imports from China. On the bonus provisions, Martin, I think I can answer that. We don't comment and break that down in detail. So of course, it has been an impact in the other line in the third quarter. It will continue to support us to a certain degree, but there's also a structural element to that. As we mentioned during the prepared remarks, we have 740 FTEs less this year. So on the personnel cost side, it's a combination of both. And with that, over to Claus for the 2 points on cost savings and imports from China to Europe and the rest of the world.
Claus Rettig: Yes, let me comment on this as well. So like I said, we have the structural cost savings from all our cost savings programs, mainly ETM, Evonik Tailor Made. And you heard before, they are actually proceeding fully as planned. So -- and one of the most significant key performance indicators is we are now year-on-year 740 FTEs less by the end of September, and that's a very hard cost saving element. So this is by far the biggest one. And then like Christoph said already, we don't disclose and publish bonus pieces. Of course, they play a role, but to a much lesser degree. And so I think the structural part is going on. It's going to continue into the next year and also going to continue into Q4. So we have the 740 less as we speak. But of course, they are being released or leaving us during the course of the year. That means we don't have the 740 FTE cost impact for full year yet. But in the Q4, of course, we have a full element of this. And of course, even more so in 2026. So from that point of view, we have also -- there's no doubt about it, we have compensating factors. We have inflation. Unfortunately, this year, we had pretty high salary adjustments in the chemical industry. They are on the other side. So that's counteracting these cost savings. Nevertheless, without the structural improvements, we would have a bigger problem. So that's maybe to the cost saving -- maybe inflation last year, salary cost inflation, to give you a number, around 7%. I think that's a pretty high number. Then the other one, imports from China. When you look to the general statistics, imports from China into Europe have been rising. That's clear. We have certain areas in our business where we see this as well. It's sometimes indirectly, I'll give you one example. We have imports on the silica side, so which are used in tires. There we see directly, but you see also an indirect impact that the entire tire is coming from China. And therefore, tire demand or tire production in Europe is going down. So yes, we have these effects. I could not quantify it at this moment in time exactly. But there are elements like this, the crosslinker, I think we mentioned this some time before. We have pretty tough competition from China as well. It's not across the entire range, but in certain areas, it is. And from that point of view, it has an impact. Unfortunately, I cannot quantify it for you now.
Operator: We now have a question from the line of Chetan Udeshi from JPMorgan.
Chetan Udeshi: My first question was following up on Martin's question in a slightly different way. Maybe this goes to Christian. I think the message you gave us, it seems is much more of earnings pressure due to what you call broad-based demand weakness. I'm just curious, if I look at what BASF mentioned last week that they think the global chemical production is up 4% year-on-year. It doesn't feel like the demand itself is so bad. So what I'm trying to understand is how much of the pressure that you see and not just you as in Evonik, but also as an industry right now in Europe is actually structural in a way because there's just genuinely more competition across many, many product segments than we ever used to. And if that's the case, why should we think next year perhaps will be any different? That's one. And second, maybe a bit related to that. If I look at your Q3 earnings or Q3 EBITDA, if I just run rate that, we are close to EUR 1.8 billion annualized EBITDA right now. I mean what are the key moving parts into next year, which can help your number grow versus that run rate?
Christoph Finke: Thank you, Chetan. Christian will start, and I think Claus can then add a few points on 2026 performance, maybe a bit more on the business side.
Christian Kullmann: Chetan, I appreciate it to take your questions. Maybe first about the market environment. The simple math is the higher your businesses are positioned in respect of specialties, the better will be a chance in 2026. And if you look at our numbers and figures in respect, for example, of our Custom Solutions businesses, you could see that they have been able, even in this tough environment, to hold the prices up. So that is somewhat I would take as sign, which is providing me with confidence, first. Second, it was about your expectations now in detail. Chetan, as you know, if I could, I would provide you with the very specific details, but it is a little bit early than to give you now a complete picture about what we do see in 2026. But for sure, that we -- and I guess you could do the same. So it's fair to assume that the macroeconomic environment will stay somewhat challenging also in next year. Are there reasons that it could become better? Are their signs? For example, the German stimulus program, which we think the German industry, and that means also we could benefit from the second half of the year. That is something we see as supportive. And then it is to see how the weak U.S. dollar will next year -- how the Americans will manage on the other side. And that is what I guess it is in those times of uncertainty worthwhile to underpin that we do remain delivering on our revised EBITDA and our free cash flow guidance. And here, as Claus has already conveyed to you, we are confident to get it. So in a nutshell, it is about the long view. It is about executing our strategy of reducing costs and bettering our position in regards of growth and optimization. And I guess, having said so, I do hand over to Claus.
Claus Rettig: Yes. Thank you, Christian. Yes, Chetan. So maybe to add -- the Q3, I think, would not be a good quarter to extrapolate because I think the reasons I tried to explain before, this is a very weak quarter for certain also extraordinary factors, like we said. 2026, super difficult to judge right now, even though we are in the middle of the discussions of how to see 2026, what kind of budget we are going to have. And of course, we always have the ambition to be the next year better than the year before. But so far, super difficult to judge. However, there are certain areas which clearly make us confident that 2026 for Evonik can be better and should be better than 2025. The total environment, we don't believe will change much. Even though you have seen President Trump and President Xi in South Korea agreed upon, let's say, call it a cease fire, which helps. But since it's only a year, it does not really remove the underlying total uncertainty, but it certainly will help. So from that point of view, we believe the environment will be as tough as it is in 2025. Will it be worse? I don't think so. So then it comes back to our own kind of elements that we believe are supporting us in 2025. We have a very weak Oxeno business, our C4 business in 2025. Here, we clearly see an improvement coming up in 2026. And Oxeno this year is not contributing at all, as you know, this will be different in 2025. Will it be back to 2024 levels? No, but something in between. So that is certainly a major element, which we see. Then we -- like we said, we have capacities that are ramping up. One is older, our polyamide 12. And by the way, polyamide 12 also in 2025 has volume growth. So it's on the way up and it's going to continue. We have the membrane business where is this year a little bit weak. We expect better business next year. We have the price erosion on the crosslinker side that has come to a standstill. It's starting to reverse. And -- yes, then we have methionine. And not to forget, we have methionine as, of course, a challenge, maybe new capacity coming on stream or most certainly on stream. When exactly? Not clear yet. That can have a suppressing factor on the price. At the same time, we have improved our cost position. In Singapore, where I'm living, we have put a new technology into a methionine plant this year, which is not only increasing the capacity, but also improving the cost. And over and above, even bigger cost improvement will come in our U.S. plant once we have the back integration in methyl mercaptan on stream, which also will happen next year. So this is -- then we have new plants. We have a new alkoxide plant in operation now in Singapore. The demand for biodiesel catalysts and biodiesel is strong. So there, it's going to ramp up, contributing next year. We have just started the new plant for aluminum oxide, highly dispersed aluminum oxide used in 2 big fields. One is lithium ion battery and the other big field is coatings. This is moving into markets where the demand is there, and we have this new plant will contribute. Maybe I already mentioned health care. Health care is also a market segment where the demand is strong. So it's not really affected by the general weakness. You know that we have also tendencies that health care production is coming back from Asia to the United States and to Europe. I think we are going to benefit from this. And -- so there are these kind of elements which make us confident that we can increase our business in 2026 a little bit despite still remaining challenging market conditions.
Operator: The next question comes from the line of Geoff Haire from UBS.
Geoffery Haire: I was just wondering, could you help us understand what the sustainability of the profitability in Infrastructure and Other is? Obviously, that was a big surprise, at least relative to what we were forecasting on consensus going forward because obviously, there's one-offs from bonus releases in there and how -- what proportion of that is one-off and what portion is ongoing.
Christoph Finke: Yes. Geoff, this goes to Claus.
Claus Rettig: The sustainability -- just to make sure I understood it correctly, is sustainability of...
Christoph Finke: The earnings level was better than in the past quarters in Infrastructure and Other lines.
Claus Rettig: Others. Yes. Okay. As you know, in Infrastructure and Others, we have grouped our , like I said, infrastructure business, which we are currently carving out into a separate legal entity. And we have also our Oxeno business in this. And here, the profitability improvement is coming from Oxeno in the next year. So this year, like I said, it's weak. Here, of course, we have profited from -- this is a very FTE-heavy operation. So a lot of the -- many of the FTE reductions are taking place there. Also in the course of the carve-out, we streamlined the processes. So absolutely sustainable. And the Oxeno part in it, like I said, we had to deep dive into our Oxeno business, you can believe me. And here, we're also confident that we are improving step-by-step over the next years, and we will certainly make a step in 2026, which we also -- okay, this is, of course, also depending on market conditions. The part which is on the bonus side, which is the lower part in the end is, I have to say, hopefully not sustainable. We all won't have a normal bonus again. And so we are aiming for not making that sustainable, that's for sure.
Operator: We now have a question from the line of Anil Shenoy from Barclays.
Anil Shenoy: I have two, please. The first one is on lipids. So you've spoken about lower demand for lipids in Custom Solutions in Q3. So I was just wondering if you could quantify in terms of percentage, how much was it down quarter-on-quarter and year-on-year as well? I mean, any kind of color on it would be very helpful. And on that note, if you could give us an update on the new lipids plant in U.S. I'm trying to understand what kind of a contribution could we expect in 2026 from it? And if you could remind us the EBITDA contribution that you expect once the plant is fully ramped up? So that's my first question. And the second question is on the divestments, especially SYNEQT. Now that you have carved it up as a separate entity, do you have a time line? Or would you like to give any color on it as to when can we expect the sale of SYNEQT? And would you be okay with the JV structure like the one Macquarie did with the infrastructure assets of Dow? And would you expect similar kind of multiples to that of Dow's assets? So those are my questions.
Christoph Finke: Okay. Thank you, Anil. This time, both questions will go to Christian. So lipids and then SYNEQT.
Christian Kullmann: Maybe first about the lipids. We are quite happy with the ramp-up of the capacities we have started to build in the United States of America. And here, we made good progress. So we are confident that we will benefit from it in future. But besides, it is a long-term perspective. So maybe give us now, first of all, a chance to build the -- to finalize the construction and then to ramp the capacities up. But nevertheless, and worthwhile to underpin it, here, we are confident that it will in future become a good and attractive EBITDA contribution business. All the more, as you see that the government of the United States of America has started some reshoring initiatives to bring pharmaceuticals and in particular, these on this very high level, high technological level back to the United States of America. So here, we are confident. In respect of Infrastructure, first of all, yes, we are progressing pretty well in respect of separation. This is close to be completed. And from January next year onwards, we will have a legal entity with SYNEQT fully organizationally and legally independent. And then as you know, all options are lying on the table. What do I mean talking about this? Could it be a partnership? Could it be a straight divestment? Could it be a JV? Yes. And for us, it means that we will tackle these different opportunities and that we will judge upon how to move ahead over the next year. But for Evonik, it is quite clear that the main benefit will be that we will have a less amount of CapEx, which we will pump in future -- which we would have to pump in future into our infrastructure businesses, and that is, for sure, helpful. So having said this, and then maybe that was -- you have asked about the revenues, somewhat -- the revenues and the EBITDA. In 2024, these infrastructure businesses have gained around EUR 1.8 billion of revenues. Here, it is fair to say Marl plus Wesseling plus C4. So in respect of the EBITDA, it was half -- first half of this year, EUR 100 million in the Infrastructure plus C4. But because C4 was virtually -- they have not contributed to the results, you could take this as, by thumb rule, EUR 100 million half a year, EUR 200 million full year in respect of our infrastructure business. I guess these are the two questions I have taken pride to answer.
Operator: The next question comes from the line of Thomas Wrigglesworth from Morgan Stanley.
Thomas Wrigglesworth: Two questions, if I may. Firstly, on Custom Solutions, you've done well with pricing, but volume has fallen 8%, which might suggest that pricing is coming at the expense of volume, which in itself might be a harsh statement. But then I look at the EBITDA change, much like Advanced Technologies, and it's substantially weaker in 3Q for the loss in sales than we've seen in 2Q. So is it that we're losing high-value tons in the volume? Or -- yes, I'm just kind of keen to unpack that a little further. Secondly, on methionine, I think you called out the methionine prices are down and yet you've been taking maintenance in 2Q and 3Q indirectly managing the volumes into the market. As you add tons and have full availability into 4Q, how do you expect pricing to perform? And do you think that your return of tons will weigh on prices into 2026 as well?
Christoph Finke: Thank you, Tom. First one, Custom Solutions to Claus and then Christian on methionine.
Claus Rettig: Okay. Good. Yes, Custom Solutions, I can actually first say, when you look -- we can do the same as with Advanced Technologies. If you look to the data we provided you, you will see that some of the EBITDA decline is not reflected in the cash flow. That's because we have also here, not to the same degree as in Advanced Technologies, but also certainly substantial net working capital reduction to align the inventories mainly to the current sales and demand. You can see that even though the EBITDA is down from EUR 287 million in Q3 '24 to EUR 215 million in Q3 '25, cash flow remains the same at EUR 172 million. So this is something we have to consider. Yes, volumes are down, which is unusual, I have to say, for this usually very stable business. And it shows also how broad, I have to say, the weakness in the market is because here in Custom Solutions, as you certainly know, we have a very broad portfolio, which makes it usually resilient because not all markets go down at the same time. But when I look right now to the performance in Custom Solutions, you can see an impact everywhere. I can see it in almost all the businesses. And I think in Custom Solutions, all the businesses have an impact to different degrees, yes, but also in all regions, and it shows -- first of all, it's a general slowdown of the demand. Nevertheless, I think what we are looking into is exactly what you are mentioning, is our price volume strategy, the right one. And are we not sacrificing volume to keep the margins high, and that's certainly on our agenda for the next months to come. And from that point of view, pricing, I think in these days, remains super critical. Also in the market, everybody knows in the market going for market share is not a good idea. And because with lowering the prices, you don't create more demand. But nevertheless, we will look into this. So it's one of the agenda points on our agenda.
Christian Kullmann: Okay. And I take then the methionine question. First, maybe let me split my answer up into 2 parts. First, about the expectations in the fourth quarter. Here, we see a demand which remains overall pretty healthy. Yes, fair to say. And that is what we could give to you because we have a quite good visibility on the already booking level for the fourth quarter. So in a nutshell, the volumes will be up compared to the last quarter. And in respect of the prices, it might. It might end up a few cents lower, but it depends. It depends first on the ramp-up of a new capacity of NHU. So here, it depends. I won't call it -- it's a question, but let's say it depends. And second, on the [indiscernible] side, we do have the situation in the United States of America, where the businesses are protected by the U.S. tariffs. That is why I would say, for sure, volumes up compared to last year -- to last quarter and in respect of price, could be down in some sense, but don't forget that there is an exception in respect of the trade tariffs in the United States of America. Now maybe outlook 2026, what do we think about this? First, it's somewhat like an evergreen, an evergreen that we do see a market growth that will continue in an average between to 3% to 4% to 5%, maybe by thumb rule around 4%, which translates into an additional capacity of 80,000 tons per year. On the other side, we are aware that there are some new capacities which could come on stream over the course of the next year, but it is hard to judge as of today when they will come on stream. And you should keep in mind that there's a new brand-new competitor in. We could not really calculate if he could bring his capacity without having any experiences in this market and with this technology right into the market in the first step. So let's see how this will work. And on the other side, don't forget that some older capacities could be taken offline. That is what we have seen, what we have observed over the course of the last year. For sure, the market is in a restructuring period. And let's see how this will work over the course of 2026. That is what we could give to you in respect of methionine for 2026 as of today.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Christian Kullmann for any closing remarks.
Christian Kullmann: Yes. Ladies and gentlemen, it was great having had you today. This is what now ends our call. So far, thanks a lot for your attention. Have a happy autumn and hope to meet you soon in person. Take care, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.